Operator: Thank you. And welcome to Ranger Energy Services Second Quarter 2024 Results Conference Call. Ranger has issued a press release summarizing operating and financial results for the three months ended June 30, 2024. This press release, together with accompanying presentation materials, are available in the Investor Relations section of our website at www.rangerenergy.com. Today's discussion may contain forward-looking statements about future business and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including the risks described in our periodic reports filed with the Securities and Exchange Commission. Except as required by law, we undertake no obligation to update our forward-looking statements. Further, please note that the non-GAAP financial measures may be disclosed during this call. A full reconciliation of GAAP to non-GAAP measurements are available in our latest quarterly earnings release and conference call presentation. With that, I would like to now turn the conference over to Mr. Stuart Bodden, Ranger's CEO, and Melissa Cougle, Ranger's CFO, for their prepared remarks. Please go ahead.
Stuart Bodden: Thank you. And good morning, everyone. We are pleased to welcome you to our second quarter 2024 earnings call. We are happy to report very strong performance in the second quarter after a challenging start to the year. The Ranger team banded together across service lines and functions to regroup in the second quarter, taking bold action in some areas, exercising patience in others, but ultimately emerging as a stronger and more focused company. Our second quarter results reflect the inherent strength of our production-focused business model, which is able to ride out cycles and maintain consistency despite broader activity and spending declines. The most illustrative example of this was in Ranger's high specification rig business, which reached a new high watermark for revenue with outstanding margins along the topside growth. We continue to have a firmly held belief that most of our business doesn't behave the same way as a traditional oilfield services company. While market conditions have been difficult over the past 12 months, with the US onshore rig count decline by over 20% and frac-ing activity following suit, several of our service lines are showing year-over-year improvement. This improvement is driven by several factors, including a consistent spending profile for production-tied work, a more consolidated and rationalized space for some service lines, along with high growth market backdrop for service lines such as P&A and gas processing. We also feel that we have deepened and strengthened ties to customers who appreciate and value Ranger's differentiated service quality. In light of recent consolidating transactions in the E&P space, Ranger is regularly presented with the question, what does consolidation mean to Ranger? We believe, over the long run, the E&P consolidation trend, while removing and reducing the customer population, has also placed Ranger in an enviable position of being a preferred provider in a space that was historically characterized by smaller and more fragmented players. This consolidation has strengthened our ties with most of the acquirers who are interested in reducing their total number of vendor relationships and work with companies who maintain consistent, superior service quality and safety records. Our second quarter is an indication of the earnings potential we have, the strength of our customer relationships, and we are excited to continue building on that momentum in the third quarter. Our confidence in the consistent earnings power of Ranger is best evident through the continued return of capital to our shareholders through our base dividend program and share repurchases, which have continued throughout the year. We believe our own stock represents a compelling investment, so we have opportunistically been repurchasing shares in the open market and have purchased nearly 1.4 million shares this year. Since the inception of our shareholder returns program, we have repurchased nearly 3.2 million shares, or 14% of the total current outstanding shares as of June 30th. Since inception of our capital return framework in the second quarter of last year, we have returned nearly 70% of our free cash flow to shareholders. There is no other small company in our industry with the level of conviction and commitment to capital returns that Ranger has with such an attractive valuation profile. Melissa will provide more detailed commentary in a few minutes, but let me highlight some of our more notable results for this past quarter. Total company revenue during the second quarter was $138.1 million, a slight increase over the first quarter, with meaningful improvements in High Spec Rigs and Ancillary segments, offset by a decline in our Wireline segment, which I will discuss in a moment. Our adjusted EBITDA was $21 million, nearly double our first quarter results on the back of EBITDA margins that improved substantially to over 15%, a higher mark than any quarter in the past two years, which is a remarkable achievement in light of recent market pressures. Our efforts to increase synergies across service lines and promote cross-pollination are bearing fruit, and we are seeing more efficiency at every level of the company. This is exciting for the leadership team, who have pushed hard on this initiative for the past couple of years. Further, a huge credit goes to our over 2,000 team members who have truly embraced our one Ranger spirit and execute at an exceptional level each and every day, insisting on superior safety performance and service quality. All of these factors matter and are responsible for pushing Ranger forward in a tough environment. Focusing on our High Specification Rig segment, we couldn't be more pleased with this performance this quarter. Consistent demand, together with strong customer relationships, resulted in increases in both rig hours and pricing this quarter, allowing us to post record top line revenue of $82.7 million and record adjusted EBITDA of $18.7 million. The majority of our business is exposed to production-related services, and that strategic focus continues to prove remarkably resilient. As we often note, as long as more wells are being drilled in the US than are being plugged, our total addressable market and Ranger's value to its customers continues to grow. In our Processing and Ancillary Services, we are encouraged by the bounce back in the second quarter and the future earnings potential of this business. We increased revenue over the first quarter by 27% and nearly tripled adjusted EBITDA to $7.2 million, the second highest quarter on record. We achieved a 23% margin and saw notable results in several of our service lines, particularly coil tubing, which reverted to more historical norms after a challenging first quarter. Our P&A business also had a strong rebound in the second quarter, posting record top line revenue and adjusted EBITDA numbers, exhibiting strong margins as winter seasonality abated and customers began more aggressively pursuing their P&A programs for the year. Although a small contributor, we have also seen our gas conditioning and processing service line, branded Torrent, doubled revenues from earlier in the year. This service line has exposure to the fast-growing fuel power generation market, and we are excited to see it continue to grow its contribution to Ranger. Concluding with our Wireline segment, we have been transparent about the challenges of this business. The past two years have been marked by intermittent performance and significant volatility. The wireline completion space over the past five years has grown increasingly commoditized with lower barriers to entry and more widespread availability of what was at one time differentiated technology and service offerings. At this point, we believe that the best thing we can do for Ranger is to stay focused on our production wireline offering rather than chase price to the bottom hoping for the turnaround in plug and perf. As many say, hope is not a strategy. Our shift to more production-focused wireline work is bearing fruit, and we have recently seen real traction on the top line. We mentioned in our prior quarter that a series of restructuring efforts have been outlined, and they are now largely complete. In the past couple of months, we have seen the results of this restructuring along with a moderating and more stable market backdrop. We have been pleased with the most recent months' uptick in margin in this segment, and we are pleased to report our highest ever top line revenue for our production service line. But to be clear, this segment has changed dramatically over the past year, and its contribution to Ranger's overall results has been diminished. We do expect to see modest, but steady, increases in future quarters, although there is quite a ways to go before it replaces the historical revenue contribution from wireline completion's work. Looking forward, we are encouraged by trends we are seeing moving into the second half of the year. The third quarter is looking strong based on seasonal activity, and we believe that our High Specification Rig segment will continue to perform well this quarter with modest incremental growth. All the indicators support continued strength in our Processing Services and Ancillary segment as well. We believe the worst of the Wireline declines behind us and look forward to operating this segment with a much leaner cost structure, while repositioning it to emerge stronger in the coming quarters. This market has proven unpredictable during the fourth quarter periods, but we will update investors regarding our year-end thoughts during our next call. In summary, we believe we have a stronger, more fundamentally resilient business today than we did one year ago, as evidenced by our margin profile and record-setting results in some service lines. We remain focused on creating long-term value for our shareholders based on our strategic pillars of maximizing cash flow conversion, growing through acquisition, maintaining a pristine balance sheet and returning substantial capital to our shareholders through dividends and share repurchases. We repurchased shares because we think our valuation is particularly compelling at current trading levels. As the sector emerged from this challenging period and customer activity rebounds, Ranger's differentiated value proposition will continue to shine and ultimately be rewarded by the market. With that, I would now like to turn the call over to Melissa to give more detail on our financial results.
Melissa Cougle : Good morning, everyone. And thank you for joining us today to discuss Ranger's second quarter 2024 financial results. As Stuart said earlier, we are pleased and reassured with our results this quarter. Ranger took thoughtful and decisive action after the first quarter, which has been validated by historically strong results in two of our three segments, despite a rig count decline of over 20% since last year's peak. Despite the declines in our Wireline segment, our year-over-year EBITDA performance is comparable on the back of stronger margins this year, which is a very encouraging sign for the health of our business. Revenue for the second quarter was up slightly from the first quarter of 2024 at $138.1 million, but down 15% year-over-year. Improvements in both High Specification Rigs, driven by expansion in rig hours and rig rates, as well as increases in Ancillary segment revenue, were offset by further reductions in wireline completions activity. Net income of $4.7 million or $0.21 per share, rebounded nicely from the first quarter's net loss of $800,000. Cost of services for the quarter was $113.2 million, representing 82% of revenue. This is a significant improvement over the first quarter of the year, which represented 88% of revenue and the prior-year period that was 84% of revenue. The decrease in the cost of services as a percent of revenue was primarily attributable to restructuring activities undertaken to adjust for reduced activity in our wireline completions business, as well as improved pricing in other service lines. We are operating leaner and more in line with market realities, which has a direct positive impact on our bottom line. Adjusted EBITDA for the quarter was $21 million, nearly double the $10.9 million of adjusted EBITDA from the first quarter of this year, and a slight decrease from the prior-year period of $21.9 million. The High Specification Rig segment provided its strongest contribution ever to adjusted EBITDA, along with record margins, while Ancillary margins were at their highest level in the past two years. The company's consolidated EBITDA margin of 15.1% was the highest recorded in nearly two years. Providing some additional segment details. High Spec Rig revenue for the second quarter was a record $82.7 million, a 4% increase from the company's previous record of $79.7 million, which was achieved in the first quarter of this year. Year-over-year, the segment increased 7% from $77.8 million in the second quarter of 2023. Rig hours increased 2% from the previous quarter and held flat from the second quarter of 2023. The blended rig hourly rate for the second quarter was $732 per hour, 2% higher than the first quarter and 6% higher than the prior-year period. In our Ancillary Services segment, revenue was $30.9 million in the second quarter, a 27% increase over the first quarter and flat with the prior-year period. Contributing most notably to the rebound was a return to more historical levels of revenue in the coil tubing service line and stronger activity levels and margins in our P&A service line. In our Wireline Services segment, revenue was $24.5 million in the second quarter, down 25% compared to the first quarter, with stage counts down 50%. Year-over-year, revenue was down 55% and stage counts are down 77%. These numbers provide clear definition to Stuart's remarks regarding our determination not to chase market share at the expense of profit. We instead have acted to right-size the organization to accommodate current activity levels. As Stuart also mentioned, we continue the strategic pivot towards production-focused wireline work, which grew top line revenue by an encouraging 14% over the prior quarter and prior-year quarter. Turning to the balance sheet, our strong financial condition remains a differentiator, and the choices we made last year to pay off all our outstanding debt have supported our ability to continue to repurchase our shares at very attractive valuations. We firmly believe that our financial stability positions us to act strategically in the best interests of our shareholders, whether that be through accretive acquisitions or prudently returning capital. Year-to-date, cash from operating activities was $34.1 million, a modest reduction from $40.9 million during the same period last year. We front-loaded our capital expenditures this year, so the first half number of $21.8 million is high relative to $12.9 million reported in the prior-year period due to growth CapEx we deployed this year to upgrade coil tubing assets and provide supporting equipment for new contracts with stronger customers. We do expect capital expenditures to decline in coming quarters as this deployed growth CapEx abates. That said, there were active discussions ongoing with customers regarding the deployment of additional assets and associated equipment that could result in additional capital expenditures in future periods to support their requirements. As and when those conversations progress to firm decisions and contracted work, we will provide our investors with an update. Free cash flow for the quarter was $6.8 million or $0.30 per share, reflecting a lower-than-typical conversion rate, given the elevated CapEx spending in the second quarter. We continue to be opportunistic and focused on our share repurchase program and bought back over $5.3 million of Ranger shares during the quarter. Over the past year, we have far exceeded our initial commitment to return at least 25% of free cash flow to shareholders. Since rollout of our program, we have returned close to $40 million to shareholders and repurchased approximately 14% of the company's current outstanding shares while paying a consistent quarterly dividend of $0.05 per share, no matter the market conditions that have presented themselves. We ended the quarter with $72.2 million in liquidity, consisting of $63.5 million of capacity on our revolving credit facility and $8.7 million of cash on hand. All told, Ranger is in an enviable financial position, having demonstrated a significant rebound in our operations during the quarter and the continued strength of our High Specification Rig segment, our flagship service line. We look at the second half of the year with cautious optimism, noting that the third quarter is typically our strongest. Our attractive free cash flow profile and yield at current share prices, combined with substantial capital returns, is always worth reinforcing to the market as well. We appreciate your support and look forward to engaging with you in the coming weeks and months. With that, we will turn the call back over to the operator for questions.
Operator: [Operator Instructions]. Our first question will come from Don Crist with Johnson Rice.
Don Crist: You had a really good rebound from the first quarter and I wanted to kind of dig into customer behavior. Obviously, in your remarks, Stuart, you talked about the consolidation and customers kind of floating towards higher performing companies with better safety records and better maintenance program. But can you talk a little bit more about that and how you're seeing the back half of the year shape up? Is that one of the main driving factors that's helping you gain market share?
Stuart Bodden: It really is, Don. Appreciate the question. I think what we saw coming out of Q1 into Q2 is exactly that. Some of our largest customers not only maintained demand, but also increased it. And we're really seeing that demand and that request for additional rigs and equipment continuing into Q3, which is why in our guidance we said that we think that Q3 will be modestly up over Q2. So we continue to believe that the consolidation trends are really helping us. We referenced last year a big contract that we signed. That contract, we think it's really starting to bear fruit. So, again, I think we're pretty pleased with how it's happening. And it really has been on the back of our largest customers, in particular.
Don Crist: On the Wireline segment, obviously, it has been a challenging market in wireline for not just you, but for everybody in the market. But can you talk about the reorganization? I know you touched on it in your presentation and your press release, what steps you've taken and do you see the margins in that segment kind of rebounding towards that 8% to 10% where you have been historically?
Stuart Bodden: We certainly hope the margins get back up there. We talk about wireline in really three segments, our completion segment, our production segment, and our pump down segment. We really are just given pricing on the completion segment and that's in the segment, Don, that's historically had the highest revenue, not necessarily the highest margins, but the highest revenue. That's where we're really seeing the pricing pressure and just things becoming unsustainable. Part of the restructuring has been really twofold. One is, unfortunately, we've had to do some headcount reductions associated with the completion service line. We've also been reorienting some of those assets. We are, for the most part, able to redirect those assets to the production space and that's in the second part, is doing that both with wireline trucks, equipment, and also some of our pumps for pump down. Again, kind of reorienting them more toward the production space.
Don Crist: If I could sneak in one more, some of your peers in the segment have kind of looked outside of the traditional oilfields for M&A and I'm hearing that M&A bid/ask spreads are narrowing. Any comments just broadly around M&A and if you're looking kind of outside of the historical business lines that you have today?
Stuart Bodden: We have been looking outside and I think been looking at a number of things. That said, Don, we remain convinced that our existing service lines, particularly our flagship service lines, are still ripe for additional consolidation. So that's probably been where most of our focus has been, although I don't want to give the impression that we're not looking at other things. But that's where most of the focus has been. I think the bid/ask, I feel like every time we get the question, we sort of have the same response, which is we think it's narrowing, but it's still not quite there. So we're hopeful. We would love to do a transaction. But again, we're committed to being incredibly disciplined, making sure that any deal is accreted to our shareholders. But I'm hoping that maybe things are starting to break free a little bit. We'll see how the next 12 months shakes out.
Don Crist: I'll call it a good quarter.
Operator: [Operator Instructions]. Our next question will come from Jeff Robertson with Water Tower Research.
Jeffrey Robertson: Stuart, you touched on valuations in the M&A market. I'm just wondering how you think about valuations that you're seeing in the market versus the valuation of Ranger stock and the share repurchase opportunity you have.
Stuart Bodden: Well, I think the question probably really kind of highlights the issues around the bid/ask. We think we're a very compelling investment proposition right now, given our stock price. But we also recognize if we do any deal that it needs to be accreted to our shareholders. I think we think that that's quite important. Again, I think we're looking at things and a lot of the conversations with potential counterparties really starts there, which is you can see where we're trading. Again, we need to be accretive for our shareholders. So if that's a kind of range that you'd be willing to transact on, then let's have deeper conversations. We are having deeper conversations. But, again, sometimes people get into it and it becomes a bridge too far. But, hopefully, it's starting to close a little bit.
Jeffrey Robertson: Secondly, you touched on consolidation. Are you seeing companies look to narrow their vendor lists that have been consolidating? And is that creating any opportunities for Ranger to do any additional exclusive service type contracts?
Stuart Bodden: We're definitely seeing the trend continue. What I would say is, for the largest customers and the ones that tend to be acquisitive, every conversation with that is associated with a desire on their part to reduce vendors and come with kind of more reputable vendors. So we definitely see that. We see that trend continuing. As regards to kind of other long-term contracts, we're having those conversations. They're kind of earlier days, but we've been – with the one that we were able to sign and we talked about last year, I think both sides feel like that's been really an advantageous contract. So we would certainly like to have more of them.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Stuart Bodden for any closing remarks. Please go ahead.
Stuart Bodden: Great. Thanks, Chuck. Thank you, everyone, for joining. Thank you for your interest in Ranger. Before we do break, I just want to just sort of commend the Ranger team, the broader Ranger team for their hard work and dedication and the strong performance in Q2. So thanks to them. And again, thanks, everybody. I hope you have a nice day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.